Operator: Ladies and gentlemen, thank you for standing by and welcome to the Advance Energy Industries’ Q4 2019 Earnings Conference Call. [Operator Instructions] I would now like to introduce your host for this conference call, Mr. Edwin Mok, Vice President of Strategic Marketing and Investor Relations. You may begin.
Edwin Mok: Thank you, operator. Good morning, everyone. Welcome to Advanced Energy’s fourth quarter 2019 earnings conference call. With me today are Yuval Wasserman, our President and CEO; Paul Oldham, our Executive Vice President and CFO; and Brian Smith, our Director of Investor Relations. If you have not seen our earnings press release, you can find it on our website at ir.advanced-energy.com. There you will also find a slide presentation to follow along our discussion today.Before I begin, I would like to mention that Advanced Energy will be participating at multiple investor conferences in the coming months. As other events occur, we will make additional announcements. Let me remind you that today’s call contains forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ materially and are not guarantees for future performance. Information concerning these risks and uncertainties is found our our filings with the SEC. All forward-looking statements are based on management’s estimates, projections and assumptions as of today, February 18, 2020 and the company assumes no obligation to update them. Long-term targets, including integration targets and aspirational goals presented today should not be interpreted in any respect as guidance. Today’s call also includes non-GAAP financial measures. An explanation of these measures as well as reconciliations between GAAP and non-GAAP measures, are contained in our press release and slide presentation.During today’s presentation, in addition to our reported financial results, we will provide revenue comparisons on a pro forma basis which includes full historical revenues of the acquisition in prior periods. In addition, we will provide revenue comparison on an organic basis, which excludes the contribution of Artesyn revenue. We believe these data will help investors’ better understanding the performance of our results. Details of Artesyn historical revenues by markets can be found on our website.With that, let me pass the call to our President and CEO, Yuval Wasserman. Yuval?
Yuval Wasserman: Thank you, Edwin. Good morning, everyone and thank you for joining us on this call. Before I start, let me touch on the outbreak of coronavirus. We are taking this threat seriously and have assigned an executive led global team to mitigate risks and manage any impact on our employee base and operations. Since our most important priority is the health and safety of our employees, we are taking a prudent approach in restarting our Chinese production facilities in full coordination and compliance with local government. We have opened all our factories. However, with the uncertainty due to disruption in transportation, government imposed limitation of people density in commercial buildings and a slow rate of restarting supply chains after the extended break, our assumption is that our production output would be affected and for that reason, our Q1 revenue guidance will be set below our growing customer demand. As the situation continues to evolve, we are actively collaborating with our suppliers and customers to mitigate the impact on shipments.Now, let me turn to our business. The fourth quarter marked a strong finish to a transformational year for Advanced Energy. Our quarterly revenue and earnings surpassed the top end of our guidance ranges driven by market recovery in the semiconductor and data center computing verticals and incremental revenue growth from multiple product design wins. On a pro forma basis, including a full quarter of Artesyn revenue in prior period, our Q4 total sales grew over 17% sequentially. Our team executed well to meet the increased demand, while at the same time continuing to focus on expanding our design win pipeline with new products and technologies to support future growth. This quarter, we also started shipping products from our new factory in Malaysia following initial customer qualification consistent with our strategy and in line with our customer’s current and future manufacturing plans.For the full year 2019, despite sluggish market condition for most of the year, our revenue increased nearly 10% to a record level of $789 million as we generated incremental revenues from our acquisition of Artesyn Embedded Power. Artesyn was solidly accretive to our Q4 results and the integration is going extremely well. Going into Q1 demand for our products remained strong and growing. However, as mentioned earlier, we expect our near-term outlook to be impacted by the evolving situation in China related to coronavirus outbreak. My forward-looking comments will focus on the demand trends we see across our markets while Paul will provide you with more details around impact of the coronavirus on our operating outlook.Turning now to our markets and performance in the fourth quarter, our sales into the semiconductor equipment market grew by 30% sequentially more than double the anticipated growth rate. Market conditions continued to improve during the quarter with strengthening foundry/logic and an increase in memory demand coupled with an end for the inventory drawdown at key customers. More importantly, design wins we secured previously started to contribute to revenue growth and further strengthen our position at our customers. Our semiconductor service business was about flat sequentially with improved demand in Asia offset by continued softness in North America. Based on our strong bookings and pull rate quarter-to-date, we expect overall demand in Q1 from the semiconductor equipment market to grow in the mid-teens sequentially.At our December Analyst Day event, we outlined our growth strategies across the company, including details for our semiconductor market. I am pleased to report solid progress from these growth initiatives. During the quarter, we won a design into multi-wafer chamber deposition tool with AE’s unique integrated RF architecture based on the technical and cost advantages of our solutions. Also, AE penetrated additional customers with our remote plasma stores due to our product’s high iron density, superior chamber life and low cost of ownership. In addition, we shipped multiple units of EBAs, our beyond RF power solution to three strategic customers for evaluation. Customers are recognizing the benefits of our pioneering tunable ion energy technology that essentially allows process engineers to tailor the ion energy profile to each specific application.Lastly, we saw good traction with a broad portfolio of semiconductor power solutions, which will continue to drive increased dollar content within our customers’ products. Overall, our strategic decision to accelerate R&D investment over the last several quarters is beginning to pay dividends. Our customers are aggressively developing next generation process solutions and our products are being adopted into new platforms. As our design win pipeline continues to strengthen, we are confident that our sales into semiconductor applications will continue to outgrow the market.Turning to our industrial and medical markets, on a pro forma basis, sales were about flat sequentially. Macro market conditions remain challenging especially in Europe and China as we experienced weak demand from industrial production and auto industries. Demand from solar customers, were particularly light in the quarter as we did not see any significant project investment, especially in China. This was offset by near-term improvement in flat panel display driven by mobile OLED applications and the continued strength in the medical equipment market across multiple applications such as diagnostic systems, surgical tools, medical lasers and cosmetic lasers. In addition, our industrial embedded power products saw strength across multiple applications such as motion control, robotics, horticulture, 3D printing and food processing.At the same time, we were successful in converting numerous product design wins into revenue. In medical equipment and analytical instrument market, we won more multiple design wins, including an important one for a DNA sequencing application. We are gaining momentum in the medical space with our 2019 sales to one of our key medical device customers grew over 30% and in Q4, revenue from another leading customer reached its highest level in the last 2 years. And in the industrial space, for advanced power products, we secured new design wins for next generation glass manufacturing, industrial coating in flat panel displays.Looking forward, we expect demand from industrial and medical vertical to be down sequentially as several large programs were completed in Q4 and from continued overall market weakness. However, long-term, we expect solid growth from this market given our design wins and improved market conditions over time. Demand in the data center computing market was substantially stronger than we anticipated. Our Q4 sales into this market grew 70% sequentially on a pro forma basis driven by faster than expected ramp of multiple design wins at hyperscale customers, an improvement in the overall datacenter computing market after a weak first half in 2019. This quarter, revenue for hyperscale exceeded our expectations as we gained significant share, at a Tier 1 hyperscale customer with our customized several power shelf solution. In addition, we gained market share at a key enterprise computing and storage customer due to our high-quality and ability to meet their requirements. Looking forward, although revenues maybe lumpy given the large size of hyperscale projects, the successful ramp of existing design wins and our pipeline of new opportunities position us to grow in this vertical in 2020. With our industry-leading efficiency and power density, deep engineering capabilities and strong application knowledge, we are gaining share in this market.Turning lastly to telecom and networking, as we projected during our last quarter’s earnings call we saw sluggish markets for telecom and networking equipment in Q4. Currently, demand from both telecom infrastructure and networking equipment OEM is weak due to the general slowdown in IT infrastructure investments. Many telecom providers are leveraging their investment in LTE advanced for their initial 5G deployment which is pushing out their next generation 5G infrastructure spending. That said, we are actively engaged on multiple 5G base station designs. In addition, recent design wins for next generation enterprise and datacenter networking applications have started to drive sales partially offsetting the weakness in the market. Overall, we are projecting continued near-term pressure in the telecom and networking vertical and expect demand to approach a trough within the next one to two quarters. Long-term, we believe that drivers such as 5G and enterprise refresh would support growth in this vertical.Let me now give you an update on our progress with our Artesyn acquisition. In the first few months since the close, we have already made significant progress. Leveraging strength across the combined company, we are building an integrated company with our functional organization for efficiency, speed and accelerated innovation. Recently, we combined our sales force into a single team which will drive key account and channel synergies, global reach and efficiency. We have also integrated our manufacturing operation under a single new leadership team which will enable us to drive factory consolidation and efficiency across the company and supply chain leverage. While the full impact will take several quarters, we are already seeing tangible benefits from combined supply chain activity.Further, I am pleased to report that our cross-selling efforts have yielded our first bookings for our embedded power products for use in axillary power applications in wafer fab equipment. This win gives us the confidence that over time we will gain share in this $170 million new market opportunity. As we go through 2020, I am increasingly confident in our ability to deliver on our target synergies and to create value to all our stakeholders.In summary, I am very excited that our Q4 performance ahead of expectations our design win successes the strong execution of our operating team, and the solid progress we are making in integrating Artesyn Embedded Power. While the coronavirus is impacting our operations in supply chain in near-term, demand from our market is strengthening driven by the growing need for solutions that enable the fourth industrial revolution. Our continued focus on enabling our customer’s innovation through our technologies and products is driving our growth pipeline of design wins in contributing to our revenue growth. Our strategy to be the pure-play leader in precision electrical power is resonating with our customers. We are executing our profitable growth plans by targeting growth markets, gaining share across our verticals and expending into new and exciting opportunities. All these position us to deliver meaningful growth in revenue and earnings in 2020. I would like to thank our customers, shareholders, partners and our valued employees for your support. I look forward to seeing many of you in the upcoming quarter.With that, let me turn the call over to Paul. Paul?
Paul Oldham: Thank you, Yuval and good morning everyone. Total revenue for the fourth quarter of 2019 was $338 million, up from $175 million in Q3, which only included a partial month of Artesyn. Excluding Artesyn, organic revenue grew 18% sequentially and 3% year-over-year to $159 million. On a pro forma basis, including a full quarter of Artesyn revenue in prior periods, Q4 revenue grew 17% sequentially and 8.5% year-over-year driven by strong growth in semiconductor equipment and data center computing. For the full year 2019, we recognized record revenues of $789 million, reflecting 9.7% growth over 2018. Excluding Artesyn, our 2019 revenues were $569 million, down 21% from 2018 primarily due to the downturn in the semiconductor equipment market in the first three quarters of the year and ongoing macro weakness affecting our industrial products.Before I talk about our sales by markets, I want to note that my forward-looking comments for Q1 reflect our demand outlook, not revenue. I will cover our revenue outlook at the end of my comments given the potential impact on our operations of the evolving situation in China. Semiconductor equipment revenue for Q4 was $125 million, up 30% from last quarter and 16% year-over-year. On a pro forma basis, semi revenues were up 28% sequentially driven by 41% sequential growth in semi product sales. We saw continued growth in OEM demand driven by investment in foundry logic, some recovery in memory and the incremental contribution from our prior design wins. For the year, semi revenues were $403 million, down from $534 million last year.Looking to Q1, we expect demand in semi to grow sequentially in the mid-teens with growth from both foundry logic and memory applications. This outlook would represent year-over-year growth of greater than 45%. Revenue from industrial and medical markets was $97 million, up significantly sequentially and year-over-year due to the addition of Artesyn. On a pro forma basis, revenues were down less than 1% sequentially. During the quarter, we saw continued macro weakness in several of our industrial sectors, but we were able to largely offset these macro trends with shipments of specific programs resulting from prior design wins for both existing and new embedded power products.Artesyn products contributed $61 million of sales into the industrial and medical markets in Q4, which was up 3.3% from Q3 on a pro forma basis. For the full year, industrial and medical revenues were $246 million, up from $185 million in 2018. Excluding Artesyn, 2019 revenues were $169 million, with a decline due mainly to weaker demand in flat pound display, consumer electronics related decorative and optical coatings, and glass manufacturing in Europe and China. Looking to Q1, we expect demand from this market to be down sequentially on normal seasonality and the absence of the one-time projects in Q4.Data center computing revenue was $78 million with significant growth versus the partial quarter recorded in Q3. On a pro forma basis, revenues were up about 70% sequentially and 27% year-over-year based on the significant share gains, particularly in hyperscale that Yuval discussed earlier. In Q1, we expect demand to show modest to sequential growth from the record Q4 with continued strength in hyperscale offset by seasonally lower demand from enterprise computing customers.Telecom and networking was $38.5 million. On a pro forma basis, revenues declined about 20% from Q3 which was in line with our expectations and commentary last quarter. Looking forward, we expect continued pressure in this market with demand bottoming out in the next one to two quarters. With our new market disclosures, service revenues are counted within our core market verticals. But on a standalone basis, our Q4 service revenue was $26.7 million, down slightly from Q3. For the year, our service revenue grew 2% to $111 million. However, if we exclude the central inverter service business that we sold in May of 2019, revenue grew 7% for the year despite lower factory utilization by our customers.Gross margin for the quarter was 33.2%. Cost of sales included approximately $6.8 million of acquisition-related charges and $2.2 million of facility expansion and relocation costs primarily related to our strategic investment in the Malaysia factory. On a non-GAAP basis, gross margin was 35.9% which is at the high end of our guided range. Gross margins benefited from lower fixed cost absorption on higher revenue and lower warranty cost. Looking to Q1, we expect adjusted gross margins to be in the 34% to 36% range.GAAP operating expenses in Q4 came in at $90 million, including $5.3 million of intangible amortization, $2.6 million of acquisition related charges, $2.1 million of stock compensation and $2.1 million of restructuring and transition expenses. In addition, in Q4, we recorded a one-time reserve of $4.2 million for doubtful accounts related to our exposure in China to certain program delays and business conditions that have been further impacted by the coronavirus. This is reflected in both our GAAP and non-GAAP operating expenses. Non-GAAP operating expenses were $78 million. If we exclude the one-time reserve, our non-GAAP operating expenses came in below the low end of our guidance range on good expense control and initial synergy savings. Looking forward, we expect adjusted operating expenses in the first quarter to be between $73 million and $77 million.GAAP operating margin for the quarter was 6.6%. Non-GAAP operating margin was 12.8%. Non-operating expenses on a GAAP basis came in at $4.8 million. On a non-GAAP basis, non-operating expense was $3.8 million, made up of $2.3 million of net interest expense plus $1.5 million in foreign exchange loss and other items. Looking forward, we expect non-operating expense to run in the $1.5 million to $2 million range.In Q4, we recorded GAAP tax expense of $6.9 million or 40% higher than normal due to non-deductibility of certain transaction costs. Our non-GAAP tax expense was $6.2 million or 16%. Looking forward, we expect our GAAP and a non-GAAP tax rate to be in the range of 16% to 18% with the addition of Artesyn. On a GAAP basis, earnings per diluted share from continuing operations were $0.27 compared to earnings of $0.19 last quarter and $0.50 last year. Non-GAAP EPS for the quarter was $0.87 above the high end of our guidance due to higher revenue, favorable gross margin and good expense management. This compares to $0.54 in the prior quarter and $0.73 a year ago.Turning now to Artesyn, Q4 was the first full quarter of integrating Artesyn and the team has done a great job accelerating our efforts to realize the synergies of this acquisition. As of the end of Q4, we have realized synergies equivalent to over $10 million on an annualized basis. Combined with our strong performance in data center computing, Artesyn was solidly accretive in Q4 adding more than $0.20 per share to our non-GAAP earnings, including the interest expense of financing. While the level of accretion will fluctuate from quarter-to-quarter, we remain confident that we are well on our way to achieve our 18 to 24 month target earnings accretion of over $0.80.Turning now to the balance sheet, operating cash flow from continuing operations was approximately $19 million, which includes several one-time payments related to the Artesyn acquisition. Excluding these one-time payments, operating cash flow was over $45 million. We ended the quarter with cash and marketable securities of $349 million, up $8 million from Q3. Total debt was $339 million after amortization payments on the loan. Receivables decreased slightly and DSO was 66 days. Inventory decreased by $11 million and turns were 3.9 times. Payables decreased to $170 million due to timing of receipts and payments and represents 68 days DPO. Capital expenditures for the quarter were $9.5 million and depreciation was $5.5 million. The higher capital expenditures reflects a full quarter of Artesyn CapEx as well as increased investment related to the new manufacturing facility in Malaysia. During the quarter, we did not repurchase any shares.Now, let me turn to guidance. Looking forward, we continue to see strong demand for our products and expect sequential growth in orders in Q1 led by semiconductor and data center markets. In addition, while visibility is low in the second half, we are encouraged by recent projections for improvement in our markets and believe that overall 2020 will be a solid growth year in both demand and the revenue on an actual and pro forma basis. In the near-term, we expect revenues to be impacted by the challenging environment in China related to coronavirus. As a result, we estimate revenues to be $310 million plus or minus $30 million in Q1. We estimate Q1 non-GAAP earnings at $0.70 per share plus or minus $0.30.Due to the uncertainty created by the novel coronavirus outbreak, we are providing a wider guidance range based on our team’s current assessment of our supply chain, product delivery and production planning. In the near-term, we expect to see some increased costs for expedite fees, transportation and factory utilization as we actively work with our suppliers and customers to mitigate the challenge and fulfill our increasing backlog. As a note, given our China footprint, we expect Artesyn products to be relatively more impacted and to represent just under half our guided Q1 revenue, but to still be accretive to non-GAAP earnings.I want to stress the demand for our products is strong, continues to grow and is above our revenue guidance. Although the coronavirus is disrupting our supply chain in the near-term, we believe continued recovery in our markets, our increased revenue diversity and success in securing additional design wins should mitigate the near-term impact and still enable solid growth year-over-year for 2020. Combined with our efforts to realize synergies, we expect to accelerate earnings growth and improve return on invested capital over time.With that, we will open the call to your questions. Operator?
Operator: [Operator Instructions] The first question comes from Quinn Bolton with Needham & Company.
Quinn Bolton: Hey, guys. Congratulations on the strong fourth quarter results. Thanks for all the qualitative color around the impact near-term on the coronavirus, but wondering if you might be able to give us some sense of how much you shaved off the March quarter guide due to the outbreak? If I look through your segments, semi cap equipment and data center both being up or demand for both segments being up sequentially makes me think that you could have easily shaved $20 million or $30 million off the March quarter guide, is that the right kind of ballpark to be thinking about?
Yuval Wasserman: Quinn, hi, this is Yuval, yes, pretty much. Let me explain a little bit from the coronavirus. We view that as a temporary situation. Obviously it’s evolving daily with high level of uncertainty, but we are highly confident in our team's focus and the strong execution and our nimble and agile operation. We have opened our Chinese factories and actively managed our supply chain and operational risks many of our suppliers in China I have just reopened a factory yesterday February 17 while some have not restarted yet we are implementing different solutions to expedite delivery of materials, to the comment that Paul said earlier and component through alternative channels and transportation means our accelerating the return of direct labor to work and ramping up production capacity in factories outside of China our strategy to have multiple factories strategies around the globe is helping us as we have capacity in Malaysia and Philippines some of our support functions are uninterrupted because people work from home people like demand planning management etcetera working from home so again we drew that as a temporary problem and we start seeing signs of recovery.
Quinn Bolton: Great. And then just a follow-up for Paul the gross margin guidance of 34% to 36% sounds like it does not include some sort of near term effect from the virus you mentioned the expedited fees, can you give us some sense is that impact 100 basis points or any further guidance you can kind of give us just to the near term impact from some of those expedite in another costs you are incurring because of the coronavirus?
Paul Oldham: Yes I think, obviously, gross margin is amalgamation of a lot of factors, right? And certainly, our semi demand is strong and will benefit the mix a little bit in the next quarter but broadly speaking it was probably a 50 to 100 basis impact from just inefficiencies associated with the corona virus that’s they did to that number.
Quinn Bolton: Great. And then last question for me, Yuval, yesterday The Wall Street Journal published an article saying that U.S. commerce department may be looking to change the foreign direct product rule and require export licenses for semiconductor capital equipment to worldwide fabs I know this is sort of very recent news but have you considered what impact such a change in the foreign direct product rule might have on your business or is it too early to quantify?
Yuval Wasserman: Quinn right now, we don’t believe that this will impact us significantly.
Quinn Bolton: Okay great. Thank you.
Operator: Our next question comes from Tom Diffely with D.A. Davidson.
Tom Diffely: Yes good morning. First, Paul a question on the backlog look like it was down by 11% sequentially I never thought that this is the time of the year where you would be ramping up ahead of a nice semi ramp here?
Paul Oldham: Yes, Tom, one thing you have to remember is our backlog is only a partial reflection of our orders because vast majority of semi product is pulled on a adjusted time basis and so that activity is not reflected in the backlog.
Tom Diffely: Okay, makes sense. And then I guess you are talking about semi demand that you are seeing right now are you seeing is your demand close to equally what you think the end market demand is or do you actually seen your customers have to build some inventory ahead of their rounds?
Paul Oldham: Well I would not say we are seeing our customers build inventory although the pull rates in December I think were strong as you saw from our revenue but I think that overall the market is up and we are growing faster than the market for a number of reasons one I think we have good exposure to foundry logic which is driving a lot of the demand right now secondly we have seen incremental benefit from some of our design winds that we have talked about over the last few quarters and third we had a headwind last year related to inventory at our customers that basically also drove Q3 so we are not seeing that headwind anymore which is giving us effectively the benefit of faster growth in the market where last year we saw the other side of that.
Tom Diffely: Okay. And then also you talked about a 20% contribution from Artesyn that so it is a little bigger than we were expecting. Was there more to it than just the nice ramp on the data center side or the cost reduction what drove the upside there?
Paul Oldham: Well, it is a combination of things and it is $0.20 is what we have said.
Tom Diffely: It is $0.20 right.
Paul Oldham: $0.20 of incremental EPS or accretion, that’s after the finance interest costs, but yes it is we have seen good revenue pickup we have also been able to see the initial benefit of some of the synergies that we have implemented we are at an annualized rate of savings coming out of Q4 of a little over $10 million which we think is directionally right on track to achieve our longer term growth those are coming from the number of actions we are able to take right off the bat around corporate costs some initial structuring restructuring that we did some actions that we took in the sales channel to get some efficiencies so we are seeing the combination of those things leading to the benefits that you see there in the accretion we are excited I think we are off to a good start and we are especially excited about how the organizations are coming together and working together right out of the bat
Yuval Wasserman: Telling the other great news about the Artesyn acquisition, we already started generating bookings from the semi wafer fab equipment industry for the Artesyn products and this cross selling opportunity that we are talked about is a potential revenue synergy is coming faster than earlier than we thought so this is really exciting.
Tom Diffely: Okay, great. And then finally when you look I guess you talked a lot about how the supply chain was impacted by the coronavirus what have you seen on the demand side any disruptions there?
Yuval Wasserman: Go ahead.
Paul Oldham: Yes I think it maybe too early to see that impact but we certainly have seen no change in sort of the demand pattern that we saw coming out of Q4 and into Q1 as Yuval Mentioned we have seen a strong start to the quarter and I think the demand picture continues to be robust.
Yuval Wasserman: The demand continues to be strong and robust we do not see any additional demand driven by concern about allocations or shortage we just see healthy demand driven by market needs in semi for example one area data center computing and other area.
Tom Diffely: Okay thank you for your time.
Paul Oldham: Sure. Thanks Tom.
Operator: Our next question comes from Krish Sankar with Cowen & Company.
Krish Sankar: Yes, hi. Thanks for taking my question. Yuval, I just wanted to go back to one of the earlier questions on The Wall Street Journal article speculation. You said that you see minimal impact I am curious is that answer more based on you talking to your customers or I am just kind of curious like why you think there is only minimal impact for the sector if that article is true?
Yuval Wasserman: This is based on our assessment and knowledge of our customer base where we sell obviously we did not talk to our customers since The Wall Street Journal article was published as we sell worldwide we are manufacturing worldwide we have customers around the globe and right now when it comes the near term we don’t see any significant impact on our business long term we don’t know.
Krish Sankar: Got it, got it. That’s very helpful, Yuval. And then just a question on your facilities in China you said that it is open but the production output is affected I am kind of curious what is the bottle neck is it really labor getting all the people on board and like trying to ramp up the factory or what is the bottle neck in that supply chain ramp up and typically how long will it take to ramp it up to 100% utilization?
Yuval Wasserman: So it is a combination of practically three drivers the first driver was basically immediately after the Chinese new year and the extended length of the holiday by the government is the rate of return of employees back to the companies and back to the factories and it was driven by limitations of transportation vehicles and means of transportation areas in China that were under quarantined by the government and that the rate of return was also controlled by the government locally that wanted to ensure that factories are safe for the employees and the safe the health and wellbeing of our employees is a number one priority and we put together a significant measures and means to ensure that this health of our employees is protected so the rate of return and its ramping we see growth in a number of people that are going back to work across our factories the other area is supply chain as I said earlier some of our suppliers are back to work not full capacities some of them are ramping and there are small suppliers especially closure to areas that are in the epicenter that have not started yet we are working closely with our suppliers we are also working with how this an inventory that is in the pipeline in the channel to ensure that we can get that inventory into our factories. And lastly the third aspect is the ability to move material around in various transportation means and when we talk about expediting fees and investment in other way and means to get material it is exactly that how do we reroute material in channels and transportation means that will ensure that we get the material to the factory, so it's multifaceted.
Krish Sankar: Got it right. Thanks a lot for the color. Yuval, just one final question very nice to see that Malaysia facility ramp up but with the virus does this delay your China facility consolidation or do you think that’s still for timeline?
Yuval Wasserman: No it is totally independent in fact we were in the process of ramping our Malaysia factory and because of this coronavirus situation we are accelerating the ramp of the Malaysia factory obviously we also need to remember that some of the supplies that go into the Malaysia factory come from china so it is basically a very carefully planned executed strategy around how to get material how to get labor and how to ramp we are shipping products from the Malaysia factory to our global customers.
Krish Sankar: Thank you, Yuval. Thank you.
Operator: Our next question comes from Amanda Scarnati with Citi.
Amanda Scarnati: Hi good morning. Thanks for taking my question. Going to continue on to the coronavirus, hopefully, this is the last question on it. Could that under shipment of demand be met in the June quarter or is this sort of a longer term trajectory of rebuilding up demand do you have the capacity in your fabs to ramp at a significantly higher rate in the June quarter?
Yuval Wasserman: Yes, I think at this point, Amanda the environment continues to evolve it is fairly uncertain how fast things can ramp back up but we think it would probably realistically take a couple of quarters before we would see a full recovery that could be a little longer a little shorter depending on how fast things come back but there is a lot of variables we don’t know at this point.
Amanda Scarnati: Okay. And then you mentioned in the telecom and networking that the demand is down in the March quarter you expect another one to two quarters of continued pressure before that business bottoms can you talk about what you are seeing there And sort of what gives you the confidence in potentially the back half of the year that you can start to see some revenue recovery?
Yuval Wasserman: Well, I think we are entering potentially to the bottom of the market within a quarter or two and this is mainly driven by multiple factors first of all as that the consents out there is that the market will recover a later this year and we tend to agree with that we saw a delay of investment in infrastructure on 5G there is a lot of combination of government and industry forces acting upon the infrastructure investment in 5G the use of LTE advance for 5G applications push the investments further out there are some government involvement around 5G investments as you heard from the UK in other areas and also the impact of the Huawei situation may also impact the global market a we are well positioned to serve this 5G and telecom market when the market recovers because of our strategic relationships very close relationship with some of the leading companies that made those radio towers and the infrastructure so there is no doubt in our mind that we will see that recovery and when the market recover we expect to benefit from that.
Amanda Scarnati: And then just following up on that, can you comment on what your exposure to Huawei is and if there would be an impact if given the [indiscernible] that’s reduced to 10% versus 25%?
Yuval Wasserman: Huawei is a small customer of ours, very small volume and we serve this customer through our engineering teams and manufacturing in Asia.
Amanda Scarnati: Great, thank you.
Operator: Our next question comes from Pavel Molchanov with Raymond James.
Pavel Molchanov: Thanks for taking my question. You mentioned that the legacy Artesyn business is more exposed to the coronavirus uncertainty than the legacy AE business why exactly is that?
Paul Oldham: Well we mentioned already that one of the large factories for Artesyn is in china and so there is exposure there but I would say on balance the supply chain in Artesyn because of the nature of the products is more China based as well. So it is the combination of those two things.
Pavel Molchanov: Okay. And balance sheet question, your net leverage very quickly turned negative as it has been obviously for many, many years is that reduction still priority for you to bring down that $339 million of debt?
Paul Oldham: It is although obviously we have been making amortization payments so that how the debts already down $11 million from five months ago four months ago and when we took that debt out but as we continue to see sort of healthy cash generation that’s our number one priority is debt reduction and this quarter our operating cash flow was about $19 million total cash increased about $9 million but underneath that we had a lot of deal related cash costs we have paid a lot of the acquisition rate of fees and as a part of the transaction we assumed a number of payables from the legacy company of Artesyn and those are all paid down so if we exclude those items underlying cash flow is over $45 million we think that is very encouraging and should give us a lot of leverage going forward by the way I just want to note that our net cash was actually positive in Q4 it was negative in Q3 but in Q4 the combination of the higher cash balance and the payment on the debt did move to positive this quarter.
Pavel Molchanov: Okay, I appreciate it.
Paul Oldham: Yes.
Operator: Our next question comes from Patrick Ho with Stifel.
Brian Chin: Hi, good morning. It’s Brian actually calling in for Patrick. Thanks for allowing me to ask a couple of questions. But maybe first on the semi cap business just to go back to a line of questioning and just to clarify it sounds like your semi cap shipments in Q1 you are saying that sequentially may be flat to down 10% versus what you think the organic demand is just want to clarify that sort of ballpark. And then also, in light of what's transparent, I'm wondering if you think your customers are going to naturally request to add a may be a buffer stock layer here giving sort of just from a supply chain sort of safety of supply standpoint?
Paul Oldham: Yes, yes, thanks, Brian. First thing thanks for asking the clarifying question we did not actually say by market how the demand would be impacted other than that Artesyn would be impacted or the embedded power products would be impacted, we think slightly more. Broadly speaking I think the demand pattern will somewhat drive the underlying revenues I think those proportions probably hold and we expect semi to be up which means a relatively less impacted if you look sequentially. The second…
Yuval Wasserman: Well, our customers in semi as they pull material when they needed from our just-in-time inventories and our just-in-time inventories have bins with inventory in them, and this inventory acts like a buffer.
Brian Chin: Okay. And just the question data center it sounds like in the semi cap business between foundry/logic memory, do you think there is anymore impact near term if it takes may be a quarter or a couple of quarters to sort of catch up there and anyone particularly that might be more impacted?
Yuval Wasserman: I don’t think we can answer that question.
Brian Chin: Okay, okay fair enough. And data center, is there a way, obviously even on pro forma basis, nice sequential jump there in Q4, is there a way of characterizing what your revenue and your growth in Q4 might have been for data center excluding the share gains, just kind of – just trying to understand what the natural market growth rate might have been?
Edwin Mok: Hey, Brian, this is Edwin. Just to give you some color on the data center, we were quantified in majority of the growth we got sequential, the 70% sequential that we talk about vast majority of it is due to share gains.
Brian Chin: Vast majority is share gains.
Edwin Mok: Yes. As we said, one, we had a Tier 1 hyperscale customer that ramped. That is a new customer.
Yuval Wasserman: So let me give you a little bit more color. The data center hyperscale is obviously an important part of the business. Over the last 18 months to 24 months, the company has put significant effort in getting design into the hyperscalers. We view that the hyperscale part of the data center computing is the fastest growing segment and for that reason, a significant effort was put in gaining share in hyperscale part of the business. So most, if not all of this increase, joint increase, a 70% increase in data center computing business is a result of these recently won design wins that are converted to match production in high volume shipments.
Brian Chin: Okay. And obviously, you expect lot of strength in Q1 as well. I know you referenced as being sort of a lumpy business. Is there a way from a baseline perspective or maybe from a client perspective, what you think the TAM there might grow in calendar ‘20, obviously you guys probably are going to grow well ahead of that, but way of kind of baseline there, I don’t know if you want to bifurcate it by sort of hyperscale versus enterprise or cycle?
Yuval Wasserman: Yes, I don’t think – I don’t have the answer right now for that, right. And we can get back to you with that.
Brian Chin: Okay, no problem.
Yuval Wasserman: Right now, we believe we grow faster than the market. And mainly because of those design wins and share gains that allows us to accelerate, we say that hyperscale will grow at about 15% CAGR, but that the TAM will be flattish, right. So we can get back to you.
Brian Chin: It sounds like based on sort of the way your supply chain is oriented and where demand is coming from, that doesn’t seem like it’s necessarily impacted from sort of the China effects?
Yuval Wasserman: I wouldn’t say that. I think that China coronavirus effect impacted all of our products.
Brian Chin: Okay, okay. Thank you. And just to be clear, the China coronavirus effect we think is a temporary effect. It’s affecting our ability to stay out of the factory in the near-term. We don’t see it having a longer term effect on any of these markets at this point and it’s just a matter of how quick things come up and we can get things converted and then how quickly we basically fill that gap between essentially backlog, or demand and the output we are able to achieve in the near-term?
Yuval Wasserman: We are very excited – we are very excited with the continuous growth in demand for our products across the markets we serve. We need to go through this short-term situation in China before we recover.
Brian Chin: Okay, thank you.
Yuval Wasserman: Alright.
Operator: Our next question comes from Mehdi Hosseini with SIG.
Mehdi Hosseini: Yes, thanks for taking my question. Couple of follow-ups. Yuval, it’s been almost 2 months since your Analyst Day, and I am just wondering if you have any additional thoughts on the core semi cap, how do you see the market evolving throughout the year excluding the coronavirus and how is that different than your thoughts back in mid-December when you had your Analyst Day? I have a couple of follow-ups.
Yuval Wasserman: Mehdi, I think the general consensus has become more constructive since our Analyst Day. We saw the market becoming more bullish around added capacity, not only in foundry and logic, but also in memory. And for us, obviously, good news because we are quite balanced in the way we served the market both in foundry logic and memories. Without the impact of the coronavirus which we believe is a temporary bump in the road, we would assume that 2020 will be slightly better than we thought originally.
Mehdi Hosseini: So there is more of a increased diversification in end market demand drivers like it’s not just foundry, now you are beginning to see a pickup in memory, is that correct?
Yuval Wasserman: Correct, correct.
Mehdi Hosseini: Alright. And then just one follow-up…
Yuval Wasserman: And by the way, with that, Mehdi, we see some additional investment driven by new technology, advanced technology, new materials, new processes.
Mehdi Hosseini: Sure. Did you say that – in your prepared remarks, did you say that the semi cap revenue would be up mid-teen in March versus December?
Paul Oldham: We said that demand will up mid-teens sequentially in the current quarter versus Q4.
Yuval Wasserman: But the rate of demand, yes, good catch, Mehdi, demand is up mid-teens. Obviously, our ability to deliver to this demand is temporarily affected by the coronavirus situation in China, but the demand continues to be strong.
Mehdi Hosseini: Sure, okay. But my question here is let’s say $130 million plus or minus as to how I come up with the March quarter revenue attributable to semiconductor equipment. What I wanted to learn more is how do you see this cycle playing out in the next 2 years? In the past, in the prior cycle, in the 2016 and 2017, you benefited from a multiplier, because of 3D NAND and now as you look forward, the 3D NAND is still there, now you have additional layers for DRAM and you have a foundry. Are we still going to be looking at the past and thinking about the 2x to 3x multiplier factor and how that’s how we should model this for the next 2 years or do you have any other thoughts you can add to it?
Yuval Wasserman: So, let me give you a high level kind of a quoting consensus opinions have been maybe talking about what we saw 2, 3 years ago when industry converted 3D NAND. So right now, I think the consensus is that 2020 will be a growth year and 2021 will be a very strong growth year that’s the general consensus right. And we are not market forecasters. So, we basically look at what we hear and register that general information. Now in the years ‘16/17/18 first half, what we saw was the conversion of an industry from planar to 3D memories, especially NAND. That level of multiplication was driven by additional capacity greenfield fabs and also the fact that yields were relatively low. We believe that the industry became more efficient, yields are higher and the additional capacity especially greenfield will not be at the level we saw at ‘16, ‘17 and first half of ‘18. That’s the only commentary I can give you. Again, we are not market forecasters. However, as we have demonstrated, we will still drove faster than the market we serve as we have done in the past.
Mehdi Hosseini: Sure. Thanks for all the detail. Just quickly switching to Paul, if your initial assessment were to play out and you see that second half uplift, especially as some of the revenue from the first half pushed out to the second half, should we expect the absorption and gross margin recovery would get you into the 40s?
Paul Oldham: No, I think that would be too aggressive. Certainly, our long-term goal is to get margins up to the 40%, but that’s on a fully synergized basis and with revenue levels that start to approach the $1.4 billion, $1.5 billion range, Mehdi. But certainly as volume picks up, we get efficiency improvement and we are actively working on implementing the synergies over time. So certainly our goal would be to continue to bring that margin up, but that would be too fast to get to that level on the second half. I’d say maybe broadly speaking there will be modest improvement in that direction, but certainly not getting to that level.
Mehdi Hosseini: Okay. And how should I think about the OpEx, where would it go from $75 million in the midpoint?
Paul Oldham: Yes, broadly speaking, as revenues pickup, we will see some modest increase in variable cost, but we didn’t make a lot of structural reductions in the downturn. We don’t have to make a lot of structural adds going forward. So I think broadly around this level, with some modest variable cost pickup is probably the right way to think about it.
Mehdi Hosseini: Great. Thank you guys.
Operator: I am not showing any further question at this time. I would like to turn the call back to Yuval for closing remarks.
Yuval Wasserman: Thanks everybody for joining us today. We are extremely excited about the integration of Artesyn and the future of the company. We view the coronavirus situation as a temporary bump in a road. We are seeing increased demand for our products from various end-market verticals and we are ready to serve those markets as soon as we can in terms of our operation in China. I am looking forward to seeing many of you during the quarter. Thanks.
Operator: Ladies and gentlemen that concludes today’s presentation. You may now disconnect and have a wonderful day.